Torbjørn Kjus: Hello everyone, and good morning. Welcome to Aker's Half Year and Second Quarter 2019 Results Presentation. We will start today's presentation with Aker's President and CEO, Øyvind Eriksen. He will walk you through the highlights of the quarter and the development of our industrial holdings portfolio. Aker's CFO, Frank Reite, will then go through the financial investments portfolio and the first half accounts in more detail. And after the presentation, we will open up for Q&A. And with that, I hand it over to Øyvind.
Øyvind Eriksen: Thank you, Torbjørn. Good morning and welcome to Aker’s second quarter and half year results presentation. Let me start with the highlights from the first half of the year. Aker’s net asset value was up NOK4.7 billion in the first half of 2019 including NOK1.7 billion in paid dividends. The net asset value was NOK44.8 billion at the end of the second quarter up from NOK41.7 billion at the year-end 2018. Our share price rose 11.1% in the first half adjusted for dividends. This compares to an 8.2% return in the same period for the Oslo Stock Exchange. Aker’s liquidity reserve through that NOK6.1 billion including NOK3.4 billion in cash and in May we distributed at NOK22.5 per share dividend to our shareholders, equal to 4% of net asset value and 4.9% direct yield as per year end 2018. Net Asset Values decreased by NOK9.8 billion in the second quarter, mainly due to a large value drop in our key asset Aker BP. This highlights the volatility in the markets in which we operate. After the close of the quarter, the net asset value has however increased by NOK300 million. The second quarter offers the following main events for our portfolio companies. Aker BP agreed that senior unsecured credit facility of $4 billion. Aker BP also raised $750 million in the senior note priced at a favorable rate of 4.75%. Aker Energy then resubmitted that plan for operation and Development in Ghana. Aker Energy also assisted AGM Petroleum, a company controlled by our main shareholder in drilling operations in the South Deepwater Tano block with discovery of oil as a result, and Ocean Yield acquired three dry bulk vessels on long term charters. Subsequent to quarter end, Aker Energy entered into a financing agreement with Africa Finance Corporation; a multilateral investment grade rated financial institution focusing on infrastructure projects in Africa. The institution intends to participate also in future capital markets activities with Aker Energy. Moreover, Aker BP made a large new oil discovery in the NOAKA area named Liatårnet. The preliminary estimates suggest 80-200 million barrels of recoverable reserves. Aker BP’s ownership of Liatårnet is 90%, making this a high impact discovery for the company. Moving on to Slide three, in the first half of 2019, Aker’s net asset value rose to NOK44.8 billion representing an 11.3% value increase when including pay dividends paid in the second quarter. Of the listed industrial holdings, Aker BP again contributed to most of the increased value. The Aker BP value increased NOK3.8 billion in the first half, but Aker has in addition received NOK1.3 billion in dividends from the company in the period. So the return has been more than NOK5 billion. Ocean Yield increased NOK100 million in share value including receive dividends of NOK300 million. The largest drop in value for the industrial holdings came in Aker Solutions, which fell NOK500 million in the first half, but Kvaerner was a positive story and gained NOK128 million and in addition paid NOK67 million in dividend. Slide four, Aker’s share price rose 42.4% in the first quarter and fell 25.4% in the second quarter leading to a 6.2% gain in the first half of the year. The return was however, 11.1% per Aker share when including dividend paid in May. Aker’s gross asset value as per June 30th was NOK56.8 billion, where the industrial holdings portfolio represented 87% of this. When deducting liabilities of NOK12 billion, the value adjusted equity ratio stood at 79%. Slide five. The industrial holdings portfolio currently consists of eight assets, five listed and three non-listed companies. Aker Energy and Cognite were included in Aker’s industrial holdings in the first half of 2019. Both companies are considered value triggers in our portfolio. In the second quarter, Aker BioMarine’s CEO acquired 2% of the shares in Aker BioMarine from Aker taking Aker’s ownership to 98% of the company. As per June 30th, E&P accounted for 64% of our gross values or services to that 10% maritime assets, 11% and seafood and marine biotech, 6%. Slide six. Aker’s liquidity reserves stood at NOK6.1 billion at the end of the second quarter, for which cash amounted to NOK3.4 billion. Aker’s dividend income was NOK1.7 billion in the first half and we remain on track to reach in excess of NOK3 billion upstream cash this year, which will represent a new milestone for Aker. Moving on to Slide seven and more details in our industrial holdings portfolio, starting with Aker BP. Aker BP made up 62% of our gross asset value as per June 30th. In the second quarter, Aker BP produced 127,300 barrels per day, 20% down from the prior quarter as output was negatively affected by planned field maintenance. Aker BP also reported an EBITDAX of $583 million compared with $629 million in the first quarter. And Aker BP paid a quarterly dividend of which Aker received NOK653 million. Subsequent to the end of the second quarter, Aker BP made a large new oil discovery in the NOAKA area named Liatårnet. The preliminary estimates suggest 80-200 million barrels of recoverable reserves. Aker BP’s ownership in Liatårnet is 90% making this a high impact discovery for Aker BP. Liatårnet can increase the company's resource base significantly and lay a solid foundation for further production growth in Aker BP. In order to develop and produce the estimated 700 million barrels of recoverable resources in NOAKA, the deadlock with Equinor has to be resolved. With responsible leadership on both sides, I am confident that a compromise will ultimately be achieved. The dialogue with the Equinor is ongoing. But it's premature to say how and when a solution will be concluded. As an active owner, we are reminded to keep a steady course focused on our long term objectives and spend time on our true value chain drivers. Our ownership agenda in Aker BP remains focused on lowering break even costs and reducing the production costs. A large contributor to achieve these targets will be the implementation of digitalization, where one of our portfolio companies Cognite plays an important role. Slide eight. In the second quarter, Aker Energy submitted an updated PDO application to Ghanaian authorities. Approval of the PDO and the subsequent final investment decision is targeted in the second half of 2019. The company has announced the results of its appraisal drilling campaign. In addition to the original discovery of 334 million barrels in the Pecan area, it’s estimated that the Pecan South well holds between 5 and 15 million barrels, while the Pecan South East well is most likely not commercial. Continuing to prove up additional volumes in the area is still a priority Aker Energy. In the quarter, Aker Energy acted as service provider to AGM in drilling the South Deepwater Tano block and will continue to assist in their future appraisal and inspirational activities. TRG has over the last five years invested around NOK1.5 billion in AGM. We are therefore pleased to announce that oil has been discovered also in the AGM block. When it comes to volume ranges, AGM will communicate this at a later stage. The drilling results including modification of volume is subject to further analysis. Aker considers that conservation or ownership across the two blocks as a natural future step. Subsequent to quarter end, Aker Energy entered into an agreement with Africa Finance Corporation, AFC to issue a $100 million dollar convertible subordinated bond. AFC has also received equity warrants with the right to subscribe shares in Aker Energy in future equity offerings. Moving on to Slide nine. In the second quarter, Aker Solutions reported NOK623 million in EBITDA and the order intake of NOK3.8 billion. As per the end of the quarter, the backlog stood at NOK29.5 billion. The market is showing signs of improvement for Aker Solutions and operational performance remains strong. This positions the company to take a fair share of new contract awards. Aker Solutions is expecting significantly increased order intake in the second half of the year, but at a weaker margins. Ole Martin Grimsrud has been appointed CFO of Aker Solutions and will replace Svein Oskar Stoknes effective August 1st, 2019. Slide 10. In order to strengthen its onshore aftermarket services and presence in North America, MHWirth acquired in the second quarter, Bronco Manufacturing a company that manufactures parts through the global drilling industry as well as delivers engineering and procurement services. The acquisition is a step in our customer strategy for MHWirth which includes expanding the company both organically and through acquisitions. Operationally, MHWirth has seen a positive trend in aftermarket revenues during the last quarters. And in April, MHWirth secured a contract for a full drilling package to Keppel FELS for a new harsh environment semisubmersible rig to be built for [Indiscernible] drilling. Akastor continues to work closely with its portfolio companies to support through cost saving programs, operational improvements and strategic initiatives to further enhance their competitiveness. Aker encourages Akastor to continue to play an active role in M&A to secure value-enhancing transactions and selectively pursue investment opportunities that strengthen its existing portfolio. Slide 11, in the second quarter Kvaerner delivered revenues of NOK1.9 billion and an EBITDA of NOK132 million. The company continues its strong operational performance as evidenced by the delivery of the Valhall Flank West platform for Aker BP. The top side was ready to transport through the field only 14 months after cutting the first steel plates. The order backlog ended at NOK9 billion including the award of the dismantling and recycling of the [Indiscernible]. Kvaerner remains committed, increasing efficiency to strengthen competitiveness in order to secure new work beyond the current backlog. Flexibility to assess strategic alternatives is secured with NOK2.7 billion cash, in addition to undrawn credit facilities of NOK2 billion. Moving on the slides 12, Ocean Yield reported an EBITDA of US$57 million in the second quarter. The backlog ended at NOK3.3 billion with an average contract duration of 10.9 years. In the second quarter, Ocean Yield extended its agreement with Aker Energy to 1st September 2019 where Aker Energy has an option to bareboat charter the FPSO Dhirubhai-1 for period of 15 years. The company is also in parallel pursuing other employment opportunities for the FPSO. In the quarter the company acquired three dry bulk vessels for a total consideration of US$82 million, net of seller’s credit. All vessels are chartered on long-term contracts. Ocean Yield also took delivery of the first two VLCC newbuildings in a series of four vessels with a 15-year bareboat charter to Okeanis Eco Tankers. The company declared $19.01 [ph] per share in dividends in the quarter, unchanged from the prior quarter. If no satisfactory long-term employment for the FPSO can be firmed up within the end of the first quarter 2020, Ocean Yield has announced that the company will consider an adjustment of the dividend level to $0.15 per. Slide 13, in the second quarter Aker BioMarine revenue ended at $67 million with an EBITDA of $17 million corresponding to a margin of 25%. The second quarter revenues are positively affected by increased downstream activity mainly as a result of the acquisition of Lang Pharma Nutrition earlier this year. Year to date the company have report record high harvesting and production volumes. The company expects growth in the demand for its products driven by expansion into the Asian markets. Final on slide 14, some comments on Cognite, the fastest growing company in our portfolio industrial investments. In the second quarter Cognite reported NOK71 million revenues, compared to NOK26 million in the same period last year, supported by a growing customer base. Customer projects are progressing and the company has a solid pipeline of potential new customers. In the second quarter the company signed a multiyear agreement with OMV to support OMV’s digital transformations. This contract is a major milestone for the company as it allows for the expansion both geographically and into the onshore domain. Cognite’s organization continues to grow and expanded by another 34 employees during the second quarter. The company now has 227 employees compared with 98 employees a year ago. One of the key expansions are taking place in North America where Cognite during the summer of 2019 will open a new office in Austin, Texas. That marks the end of my presentation today. But before I leave the word to our CFO, Frank Reite, I would like to thank him for his significant contribution to Aker ASA. Frank has been Aker's CFO for the past four years and today holds his last quarterly presentation for the company as he will stepping down for calmer days due to health reasons. Please take our audience through Aker's financial accounts to Frank.
Frank Reite: Thank you, Øyvind and good morning everyone. I will spend some minutes on Aker's Financial Investments before I go through the second quarter accounts. Let's start with slide number 16. The financial portfolio accounted for 13% of Aker's total assets, or NOK7.1 billion, this is up NOK0.6 billion from the previous quarter mainly explained by increased borrowings and cash dividends received from Aker BP and Ocean Yield, partly offset by dividend paid. The main components under financial investments are cash listed investments, real estate investments and interest-bearing receivables. Let's look into the details of the financial investment portfolio starting with cash on slide number 17. Our cash holdings represents 6% of Aker's gross asset value, or NOK3.4 billion, this is up NOK0.3 billion from previous quarter. The main cash inflows were NOK1.7 billion drawn or credit facilities and NOK898 million in dividends from mainly Aker BP and Ocean Yield. The main cash outflow in a quarter was the NOK1.7 billion paid as dividend to our shareholders. In addition, our receivables against portfolio companies increased by NOK253 million mainly towards Aker BioMarine, and we increased our investments in Aker Energy NOK138 million. Payments in the quarter for operating expenses and net interest were NOK152 million. Other cash movement mainly includes a NOK100 million prepayment for the new airplane. Our liquidity reserve at the end of the second quarter was NOK6.1 billion including undrawn credit facilities of NOK2.6 billion. Turning to page 18; listed investments including our financial portfolio represent 1% of Aker's total assets, or NOK770 million. The net value increase in the quarter was NOK21 million mainly explained by the value increase of American Shipping Company of NOK37 million partly offset by a NOK12 million value reduction of Philadelphia shipyard. A total exposure towards AMC [ph] also includes two TRS agreements with a value increase of NOK62 million in the quarter presented as last part of other financial investments. We posted a dividend income from American Shipping Company of NOK21 million in the quarter. Next on page 19; real estate and other financial investments, combined the two represent 5% of Aker's gross asset value, or NOK2.9 billion. The NOK350 million increase in the quarter is mainly explained by NOK220 million an increased funding to Aker BioMarine and NOK100 million in prepayment for the new airplane. I will now go through the second quarter financial highlights for Aker ASA and holding companies. The consolidated group accounts are included in the half year report, however I will not comment on those figures. Let me start with a balance sheet on page 21. The book value of our investments was down with NOK99 million in the quarter mainly explained by value reduction on our direct investments in Aker Solution and Akastor. This was partly offset by increased investments in Aker Energy. Total book value of our assets was NOK25.9 billion and in our accounts we used the lowest of historic costs and market values. Share prices for our investments continue to be volatile and this quarter we face NOK10.3 billion decrease of our fair value adjustment, bringing it down to NOK30.9 billion. This is however NOK3.4 billion higher than at year-end 2018. The gross asset value stood at NOK56.8 billion at the end of the quarter. Aker's liability mainly consist of bond debt of NOK6.1 billion, U.S. dominated bank loans of NOK4.7 billion and a NOK969 million euro dominated loan. The book equity was NOK13.9 billion, up NOK569 million from the first quarter explained by the net profit before tax for the second quarter. If we adjust for fair value on the listed assets, we get our net asset value of NOK44.8 billion at the end of the second quarter, down NOK9.8 billion from the first quarter. The net asset value per share was NOK603 and the value adjusted equity ratio was 79%. Let's then continue on to page 22. Our total interest-bearing debt stood at NOK11.7 billion which is up by NOK1.7 billion from the previous quarter due to a $200 million drawn on the credit facility. However in July we will repay the Aker bond at maturity with NOK1.5 billion from our cash holdings, taking the gross interest-bearing debt down towards NOK10 billion again. As before, we have significant headroom with regards to our loan covenants. We had the net interest-bearing debt of NOK7.2 billion at the end of the second quarter, up from NOK6 billion in the previous quarter. Then to the income statement on slide number 23; the operating expenses for the second quarter were NOK69 million. The net value change in a quarter was negative NOK190 million mainly explained by write-downs of our direct investments in Aker Solution and Akastor. Net order financial items were positive NOK831 million mainly explained by dividend income of NOK838 million. The profit before tax was NOK566 million in the quarter. And then Torbjørn we should open for questions.
Torbjørn Kjus: Okay. Yes. Operator, you can open up for questions.
Operator:
Øyvind Eriksen: Okay, operator, we will then cut the questions. And if there's no questions we will then conclude our presentation for today. We would like to thank everyone who attended and we take the opportunity to wish you all great summer. Thanks.